Operator: Good morning. My name is Dennis and I will be your conference operator today. At this time, I would like to welcome everyone to the Nordson Corporation Fourth Quarter and Fiscal Year 2023 Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers remarks, there will be a question-and-answer session. [Operator Instructions] I would now like to turn the conference over to Lara Mahoney. Please go ahead.
Lara Mahoney: Thank you. Good morning. This is Lara Mahoney, Vice President of Investor Relations and Corporate Communications. We welcome you to our conference call today, Thursday, December 14, 2023, to report Nordson's fiscal year 2023 fourth quarter and full year results. I'm here with Sundaram Nagarajan, our President and CEO; Joseph Kelly, Executive Vice President; and Stephen Shamrock, Interim Chief Financial Officer. While Joe recently took a new role as Executive Vice President, Industrial Precision Solutions segment, he was CFO for the entirety of fiscal 2023 and will represent that viewpoint in today's call. You can find both our press release as well as our webcast slide presentation that we will refer to during today's call on our website at nordson.com/investors. This conference call is being broadcast live on our investor website and will be available there for 14 days. There will be a telephone replay of the conference call available until December 21, 2023. During this conference call, references to non-GAAP financial metrics will be made. A complete reconciliation of these metrics to the most comparable GAAP metric has been provided in the press release issued yesterday. Before we begin, please refer to Slide 2 of our presentation where we note that certain statements regarding our future performance that are made during this call may be forward-looking based upon Nordson's current expectations. These statements may involve a number of risks, uncertainties, and other factors as discussed in the company's filings with the Securities and Exchange Commission that could cause actual results to differ. Moving to today's agenda on Slide 3, Naga will discuss fourth quarter and full year highlights. He will then turn the call over to Joe to review sales and earnings performance for the total company and the three business segments. Joe also will talk about the year-end balance sheet and cash flow. Naga will conclude with high level commentary about our enterprise performance, including an update on the Ascend strategy, as well as our fiscal 2024 first quarter and full year guidance. We will then be happy to take your questions. With that, I'll turn to Slide 4 and hand the call over to Naga.
Sundaram Nagarajan: Good morning, everyone. Thank you for joining Nordson's fiscal 2023 fourth quarter and full year conference call. In 2021, Nordson launched its Ascend strategy to achieve top-tier growth with leading margins and returns. We set a goal to deliver $3 billion in sales and greater than 30% EBITDA margins by 2025. As we complete the third year of our strategy, we are on track toward achieving these objectives. This is a testament to our employees who have in the last three years developed and deployed the Ascend strategy and tackled dynamic macroeconomic conditions including a pandemic, global supply chain pressure, labor challenges, and rising interest rates to name a few. In 2023, we also managed the unique period of biopharma destocking as well as the cyclical electronics end markets. The core elements of our business model has enabled us to deliver profitable growth throughout these challenges. This includes a fundamental focus on our customers, commitment to innovation, diversified geographic and end market exposure, and a high level of recurring revenue through aftermarket parts and consumables. Since launching the Ascend strategy, we have added new capabilities to our model, including the NBS Next growth framework and a division-led structure which has empowered our teams to respond rapidly to changing market conditions. This led to solid financial performance in the quarter and the year, exceeding our targeted incremental and decremental profit targets in all three segments. Combining all of these factors with our capital deployment strategy to strengthen our precision technology portfolio, we delivered record sales, 31% EBITDA margin, and record cash flow in fiscal 2023. I'll speak more to this in a few moments, but I'll now turn the call over to Joe to provide more detailed perspective on our financial results for the fourth quarter and fiscal 2023.
Joseph Kelley: Thank you, Naga, and good morning to everyone. On Slide number 5, you'll see fourth quarter 2023 sales were $719 million, an increase of 5% compared to the prior year's fourth quarter sales of $684 million. The increase included 7% growth from acquisitions of ARAG and CyberOptics and favorable currency translation of 1%, offset by an organic sales decrease of 3%. The organic sales decrease was primarily volume offset by price as we continue to pass through year-over-year cost inflation. In line with our expectations, the volume decline was concentrated in the electronics, dispense, and our biopharma businesses. This pressure was largely offset by double-digit growth in medical interventional solutions, industrial coatings, and polymer processing product lines compared to the prior year. Gross profit, excluding the non-recurring amortization of acquired inventory, totaled $389 million or 54% of sales, a 7% increase over the prior year fourth quarter of $363 million or 53% of sales. The gross profit dollar increase was driven by sales growth, and the gross margin expansion of 100 basis points was driven primarily by improvement in factory efficiency. SG&A in the fourth quarter increased to $199 million versus $186 million in the prior year fourth quarter. Excluding $6 million in non-recurring transaction fees related to the ARAG acquisition, SG&A increased 4% over the prior year, representing 27% of sales, consistent with the prior year. Adjusted operating profit, excluding $11 million in non-recurring acquisition costs and step-up inventory amortization was $196 million in the quarter, a 10% increase from the prior year. We generated very strong incremental operating profit margins of 51% on the 5% sales growth, which can be attributed to our team's continued dedication to executing the NBS Next growth framework and their related ability to rapidly respond to changing market conditions. EBITDA for the fourth quarter increased 12% over the prior year to a record $227 million, or 32% of sales, which is 200 basis points above our long-term profitability target, as we articulated in our Ascend strategy. This compares to $202 million or 30% of sales in the prior year fourth quarter. As we continue to execute the Ascend strategy and scale through acquisitions, EBITDA will be a key metric for profitability and cash flow generation. Looking at non-operating income and expense, I am happy to report that in September, we successfully accessed the public bond market with our inaugural issuance of investment grade rated debt. We raised $850 million in five and 10 year bonds to repay the short term borrowings used to finance the ARAG acquisition with the balance of the funds coming from our revolver. Interest expense in the quarter totaled $26 million, an increase of $21 million over the prior year quarter. $7 million of the increase is non-recurring financing costs associated with the repayment of the short-term borrowings. The remaining $14 million increase is a result of higher debt levels and increased interest rates. Other net income decreased $3 million due to significant currency fluctuations that generated a $4 million currency exchange gain in the prior year that did not repeat in the current year. Tax expense was $33 million for an effective tax rate of 20% in the quarter, slightly below the full year and within our guidance range. Net income totaled $128 million or $2.22 per share. Adjusted earnings per share excluding non-recurring acquisition related expenses totaled $2.46 per share, a 1% increase over the prior year. This improvement despite the increase in interest expense is reflective of consistent application of the NBS Next growth framework, which leads to steady, profitable growth with attractive incremental margins. Turning to Slide number 6, I'll now share a few comments on our full year results. Sales for the fiscal year 2023 were a record $2.6 billion, an increase of 2% compared to the prior year's previous record sales results. This increase was driven 4% from the CyberOptics and ARAG acquisitions, offset by an organic decrease of 1% and an unfavorable currency impact of 1%. Adjusted operating profit was $707 million, or 27% of sales, which was comparable to the prior year. On a constant currency basis, adjusted operating profit grew year-over-year 1%. EBITDA for the full year increased 1% to a record $819 million, or 31% of sales. This marks the third consecutive year of the Ascend strategy delivering EBITDA growth. Adjusted diluted earnings per share were $9.03, a 4% decrease from the prior year. The decrease in adjusted earnings is primarily a result of higher adjusted interest expense of $30 million associated with both the CyberOptics and the ARAG acquisitions and higher borrowing rates. Overall, the company's performance remains strong and in line or ahead of targets established as part of the Ascend strategy. Now, let's turn to Slide 7 through 9 to review the fourth quarter 2023 segment performance. Industrial Precision Solutions sales of $405 million increased 14% compared to the prior year fourth quarter. Organic growth in the quarter was 4%, with the ARAG acquisition adding 7%, and a favorable currency impact of 2%. It is noteworthy that the 4% organic growth is over a very strong fourth quarter of 2022 and represents an all-time quarterly sales record for the segment, excluding ARAG. Robust demand in the polymer processing, industrial coatings, and packaging product lines combined with the execution of the Ascend strategy drove this quarter's results. Geographically, growth was strong in the Americas and Asia Pacific regions. EBITDA for the quarter was $148 million, or 37% of sales, which is an increase of 26% compared to the prior year EBITDA of $118 million. This growth was driven primarily by leveraging organic sales growth at incremental margins well in excess of our target, plus the benefit of the ARAG acquisition. Medical and Fluid Solutions sales of $169 million decreased 7% compared to the prior year's fourth quarter. This change was primarily driven by a decrease in organic sales volume of 8%, offset by a modest 1% currency benefit. The volume declines were the result of continued softness in medical fluid components related to the biopharma end markets, as well as the fluid solutions product lines, offset by double-digit growth in our medical interventional solutions product lines. Fourth quarter EBITDA was $62 million or 37% of sales, which is a decrease of 4% compared to the prior year EBITDA of $64 million. EBITDA margins continue to be negatively impacted by the sales mix changes within the medical product lines, but improved factory efficiency within the fluid solutions division enabled profit margin expansion. Turning to Slide 9, you'll see Advanced Technology Solutions sales of $145 million decreased 1% compared to the prior year's fourth quarter. This change included a decrease in organic sales volume of 16%, offset by the CyberOptics acquisition, which contributed 15%, the highest quarterly sales to date under Nordson ownership. The organic sales decline was primarily driven by continued softness in our electronics dispensed product lines that served the cyclical semiconductor end market and by way of reference, had a difficult comparison as the prior year fourth quarter had 28% organic growth. Based on customer conversations and historic trends, we continue to expect demand in the semiconductor market to anniversary in the second quarter of fiscal 2024 and begin to recover in the back half of calendar ‘24. Fourth quarter EBITDA was $35 million or 24% of sales, a decrease of $5 million from the prior year fourth quarter. Noteworthy, however, for this segment is the increased profitability level in the down part of the cycle when you compare the 24% EBITDA margin to the 14% EBITDA margin in fiscal 2020. Finally, turning to the balance sheet and cash flow on Slide 10. We had another very strong cash flow quarter, generating $153 million in free cash flow at a cash conversion rate of 120% on net income. For the full year 2023, Nordson generated a record free cash flow of $607 million at a cash conversion rate of 124%. With our record free cash flow, we were able to repay approximately $425 million of debt and return capital to our shareholders. Dividend payments were $39 million in the quarter, reflective of the 5% increase in the annual dividend. In addition, we purchased $10 million of shares at an average price of $216 per share. Through our strategic capital deployment, we ended the year with a strong balance sheet. Our cash balance was $116 million, and net debt was $1.6 billion, resulting in a leverage ratio of 2 times based on the trailing 12 months EBITDA, well within our targeted range. For modeling purposes, in fiscal ‘24, assume an estimated effective tax rate of 20% to 22%, capital expenditures of approximately $40 million to $50 million, and interest expense of approximately $75 million to $80 million. In summary, our segments effectively responded to dynamic conditions throughout fiscal 2023 by using the data-driven NBS Next growth framework. This led to segment financial performance exceeding our targeted incremental and decremental profit targets. We are also seeing nice contributions from our recent acquisitions, which is indicative of the strength of our capital deployment strategy and the differentiation we are adding to our precision technology portfolio. I want to congratulate the team on achieving record sales and EBITDA as well as the record cash flow performance this year. I'll now turn the call back to Naga.
Sundaram Nagarajan: Thank you, Joe. During last year's conference call, as we set the stage for fiscal 2023, I noted that Nordson was well positioned to perform during periods of economic uncertainty. It certainly proved true for all the reasons I listed earlier in the call. Fundamental focus on our customers, commitment to innovation, diversified geographic and end market exposure, and a high level of recurring revenue. The Ascend strategy has added to these core strengths. Our NBS Next growth framework is becoming a competitive advantage as it is deployed holistically across the company. Put simply, NBS Next is a data-driven segmentation framework that drives choices, focus, and simplification. In fiscal year 2022, we had two divisions that achieved market-leading business performance. That number expanded in 2023 with all divisions making tremendous progress. They're using the framework to guide their focus on best growth opportunities and deliver on time, quality products, winning business, and growing market share. Our medical interventional solutions business successfully deployed this framework to achieve double-digit sales growth throughout 2023 by focusing on its best growth opportunities and simplifying elsewhere. Our electronics processing division leveraged this period of weaker end market demand to carefully curate its product portfolio based on the best growth opportunities. The team recognized through segmentation analysis that the extreme customization we offered created complexity and resulted in longer lead times. Applying NBS Next methodology with our deep voice of customer research, the team reduced complexity, improved lead times, and is gaining market share. The electronics division has used the downside of the cycle to implement NBS Next, achieving its target decremental margins in the second half of fiscal 2023. They're well positioned for the incremental earnings growth that will come when the semiconductor end market start to recover in the second half of calendar 2024. In 2023, we also made progress on the acquisition front of our Ascend strategy, which is a key priority of our strategic capital deployment. We closed the ARAG acquisition on August 24th, 2023. The integration is going well, and we are impressed by ARAG's precision agricultural technology and the energy, excellence our new employees bring to Nordson. Since the launch of the Ascend strategy, we have acquired approximately $400 million in revenue and are 80% of the way toward our acquisitive revenue target. We see ample opportunity in the pipeline to achieve this target, particularly in the medical and testing inspection platforms. That said, we will remain focused to acquire differentiated precision technologies that meets our strategic and financial criteria. To enable acquisitive growth, we went to the public markets this summer. As a first-time issuer, we achieved investment-grade ratings from both Moody's and S&P. Both ratings agencies cited Nordson's strong cash flow and healthy financial profile as key reasons for the strong ratings debut. We appreciate the flexibility that public debt will afford us as we continue executing on the acquisition and capital deployment portion of our strategy. In summary, I am very pleased with the progress of our Ascend strategy and believe we are well positioned entering fiscal 2024. I am also pleased that we have made this progress while sustaining our culture and values. For example, in fiscal 2023, our employees, company, and the Nordson Corporation Foundation donated over $13 million into the communities that our employees live and work to support education, human welfare services, and other charitable activities. Turning now to the outlook on Slide 12. We enter fiscal 2024 with approximately $800 million in backlog. The sequential backlog reduction is reflective of strong system sales in the fourth quarter as well as a paced return to normalized levels. Based on the combination of order entry, backlog, customer delivery timing requests, and current foreign exchange rates, we anticipate delivering sales growth in the range of 4% to 9% above fiscal 2023 sales. Full year fiscal 2024 earnings are forecasted to be in the range of 1% to 8% growth per diluted share. Please note that we are updating our definition of adjusted earnings starting in fiscal 2024 to exclude acquisition-related amortization. As acquisitions will continue to be a critical part of our strategy, we believe this is prudent and more reflective of how we and investors think about our business in terms of earnings and cash flow growth performance. This full year guidance assumes a neutral impact from foreign exchange rates, a recovery of semiconductor end markets in the second half of calendar 2024, and the ARAG acquisition contributing approximately 5% growth at the midpoint of our guidance. As you will see on Slide 13, first quarter fiscal 2024 sales are forecasted in the range of $615 million to $640 million and adjusted earnings in the range of $2.00 to $2.10 per diluted share. Before we open it for questions, I want to take a moment to thank Joe for his leadership as CFO over the past three plus years. Joe, I've appreciated your partnership and we are all excited to see you develop your career as the new leader of our IPS segment. As we move forward into fiscal 2024, Steve Shamrock will take over as Interim CFO while we conduct our search for a successor. Joe's move and Steve's seamlessly stepping in during the transition are examples of Nordson focusing on developing winning teams, an important success factor in building a scalable, high quality growth engine. Again, I want to thank our employees, customers, and shareholders for your continued support. We will now open the phone lines for questions.
Operator: [Operator Instructions] And our first question comes from the line of Allison Poliniak with Wells Fargo. Please go ahead.
Allison Poliniak: Hi, good morning.
Sundaram Nagarajan: Good morning, Allison.
Allison Poliniak: Naga, you touched on the EBITDA margin that you posted in 2023, certainly strong and well ahead of your target. How do we think of that EBITDA margin from here? How does it evolve over the next, say, two to three years?
Sundaram Nagarajan: Yeah. Allison, as we launched the Ascend strategy, our target was to have 50% of our growth come from organic and 50% from acquisitions. And we also set the stage for our organic growth obviously comes at a higher incremental margins when compared to our acquisitions. So as we move forward, we fundamentally believe this 31% is a sustainable level at which we are operating. Depending on the mix of organic and acquisition, this is a sustainable level that we are able to maintain.
Allison Poliniak: Got it. And then could you touch on the biopharma market, just sort of the cadence of recovery, just how you're thinking about that specific market in ‘24, just given the challenges it had in ‘’23 around the inventory size?
Sundaram Nagarajan: Yeah. We start to -- by the end of the first quarter, we start to anniversary the decline in biopharma due to destocking. Longer term, we fundamentally believe that this is a great marketplace for Nordson and will return to the high single digit number. In the interim though, we are taking a conservative and definitely a realistic view of saying the recovery is going to be slower.
Allison Poliniak: Okay, but I guess that I think you just touched on it though, so there's no real structural impediment for that market in your view to not reach that sort of high single-digit growth rate that it historically achieved?
Sundaram Nagarajan: Absolutely not. Right? If you think about this, one of the key areas of focus for us is the use of single-use plastics, which essentially go to replace the stainless steel nectars and stainless steel full lines. And that transition is still in its early stages. So we fundamentally believe that there is nothing here that is impaired. It's a matter of timing and it's certainly a matter of recovery certainly you know so long-term no issues We expect we'll probably get to high single-digits.
Allison Poliniak: Perfect. Thank you and congrats, Joe, on the move.
Sundaram Nagarajan: Thank you.
Joseph Kelley: Thank you, Allison.
Operator: Your next question's from the line of Mike Halloran with Baird. Please go ahead.
Mike Halloran: Hey, morning, everyone.
Sundaram Nagarajan: Good morning, Mike.
Joseph Kelley: Good morning, Mike.
Mike Halloran: Just want to help me understand a couple of questions on guidance here. First, what's the organic assumption embedded in the growth rate? And I know you gave the FX side already but maybe just some help on what you're assuming for organic growth?
Sundaram Nagarajan: Steve, you got it?
Stephen Shamrock: Yeah, this is Steve. So for the full year guidance, as Naga pointed out, we're forecasting growth of 6%. And ARAG is at 5%. So that would imply organic growth of about 1% because we would say based on current rates, we're FX neutral. So that's how we're thinking about the overall growth rate of 6%.
Mike Halloran: Thanks for that. And then on the electronics assumptions, you mentioned back half recovery. What informs that? It certainly sounds like part of it is comparisons, part of it is historical recovery curves. Is there anything customers are saying or build rate forecasts or anything else that you would point to?
Sundaram Nagarajan: What I would tell you is the two things that you already acknowledged, which is really historical trends. Certainly, we have a direct sales model and our teams are spending a lot of time with our customers understanding what their requirements are and when they would show up. If you were to point to anything, you would say the pipeline of opportunities continue to be -- to point towards that timeline of recovery.
Mike Halloran: And then last one, just on the IPS side. Are you assuming relatively normal sequential patterns from here? Any thoughts on how you're looking at the end market cadencing, demand levels, things like that? I mean, packaging was strong this quarter, which felt a little surprising. So any context on that would also be helpful.
Sundaram Nagarajan: Yeah, sure, Mike. IPS has been running at or above our long-term growth rates here now for two, three years now. And what our expectation is that we don't see anything in the order entry that gives us a pause. Good backlog and good order entry that we expect to sustain growth in the coming years. A significant contribution on IPS growth for the coming year would be through the ARAG acquisition.
Mike Halloran: Got it. Really appreciate it. Thank you for your time.
Sundaram Nagarajan: Sure.
Operator: Your next question is from the line of Jeff Hammond with KeyBanc Capital Markets. Please go ahead.
Jeff Hammond: Hey, good morning everyone.
Sundaram Nagarajan: Morning, Jeff.
Joseph Kelley: Morning, Jeff.
Jeff Hammond: So maybe go back to the organic. It looks like the range is kind of minus 4% to plus 1%. Do you see all the segments at the midpoint growing or are there some segments that clearly have growth and others that are maybe down?
Sundaram Nagarajan: Yeah. We just talked about IPS. IPS today at or above our long-term growth rates continue to sustain modest growth in the year coming up. ATS is going to be flattish in that, what I would tell you is that first half we're going to be continuing down, second half continue to improve. And so that will be flattish to slight growth. MFS though, we have medical interventional components continuing to be pretty strong growth for us. Our bio-pharma business, anniversarying itself and not being a drag, and then improvement in our fluid solutions towards the back half of the year. Overall, our expectation is that MFS returns to a pretty nice growth next year -- modest growth for that segment.
Jeff Hammond: Okay, great. Thanks for that color, Naga. Just, ARAG, there's been a lot of commentary about ARAG slowing. I'm just wondering if ARAG is seeing that pressure, it seems like the math maybe suggests a little bit lower revenue contribution than maybe when you first bought it, just speak to what you're seeing there real time.
Sundaram Nagarajan: Yeah, let me start it and then Joe in his new role can certainly give you some color on ARAG as well. What we see -- remember 45% of our ARAG’s revenues are recurring revenue. And they're typically products or short life replacement cycles. So mostly nozzles and things like that. So we will benefit from that and that is not going to see the pressure you're going to see. The other thing what I would tell you is that ARAG’s components, much like Nordson, is critical low-cost component for the customers and also components that drive efficiency, reduce waste. And so typically what our expectation is that the -- that we're going to see limited impact from that. And so let me maybe have Joe talk about where we finished the year for ARAG in Nordson fiscal year and then talk a little bit about our expectation for next year.
Joseph Kelley: Yeah. So, Jeff, if you think about ARAG, they finished the Nordson, what I'll call, calendar fiscal 2023, delivering $155 million in sales. And the midpoint of our guidance suggests that ARAG’s sales grow in 2024. And so, despite some of the news that you're hearing in the ag space, when you look at the components that they provide, the 45% that's run rate parts and consumables that Naga mentioned, we have it moderated the growth rate from what was previously articulated, but it is still growing when you look at it year-over-year.
Jeff Hammond: Okay. And then just a housekeeping. Amortization in ‘24, is it $20 million a quarter, $80 million? Is that kind of the right run rate or how should we think about that?
Stephen Shamrock: Yeah, Jeff, I would tell you the guidance on amortization is in the range of $74 million to $78 million for the full year and about $19 million in Q1.
Jeff Hammond: Okay, thanks so much.
Operator: Your next question is from the line of Matt Summerville with DA Davidson. Please go ahead.
Matt Summerville: Thanks. I was hoping maybe you gave a little bit more granular detail on expectations for MFS. I was hoping you could kind of talk through the same thing for IPS, how you're thinking about rigid, flexible packaging, non-wovens, product assembly, coatings, as we move into ‘24.
Sundaram Nagarajan: Yeah, hey, let's -- generally we don't give guidance around the segment, but I will certainly give you some what we are seeing in the marketplace and hopefully that will answer the question, Matt. So let's start with packaging, right? Packaging is doing fairly well. It is -- the order entry rates and things like that suggest that the backlogs have returned to normal. The parts part of the business is doing fairly well. And so we expect packaging to continue to be steady as we have experienced thus far. So that is packaging. As you think about system businesses like coatings or polymers, as we enter the year, we enter the year with some pretty strong backlog. And so we fundamentally believe that that is one that will help us in the growth there. Non-wovens has been a business that continues to -- has not declined any further. Will continue to be tracking in the same place where we are. We certainly have a number of product applications. This is sort of applications such as battery, think about applications in e-commerce, fabric bonding and many other miscellaneous application. This is the part of the business where it is application by application and this one is doing well as well. Hopefully that gives you a little bit more color and hopefully answers the question you're asking, Matt?
Matt Summerville: Yeah, I appreciate the detail there. Maybe just over to ATS, two quick things. Are you actually seeing an inflection in CyberOptics business pointing out the fact that you had the strongest quarter for that business since the acquisition? And then if you can comment a little further on how you're thinking about test and inspection for ’24.
Sundaram Nagarajan: Yeah, as you think about test and inspection, we've had strong, strong years here now going. Even last year when our dispense business was down a bit, you also found them to be doing fairly well. But as you go into next year, we expect that we would have challenging comms for our x-ray business. We certainly expect that our optical business and our acoustic business, which we've not talked about in the past, is an area that we feel there is some strength. And too early to say we have reached an inflection point, but certainly telling you that this is an area that we are well positioned to take advantage of any market movement. Customer conversation, pipeline activity, all still indicating second half of the year, calendar year, that we have a good recovery. But I think we feel good about where we are, particularly on CyberOptics, we've had now a year of experience with this. CyberOptics is exactly what we thought it was, incredibly fantastic technology that has added to the portfolio. So our thesis around expanding our precision technology portfolio with CyberOptics is certainly strong. And our expectations are that we continue to be able to solve more problems for our customers and continue to benefit on this investment in semiconductors that is expected to come.
Matt Summerville: Thank you.
Operator: [Operator Instructions] Your next question is from the line of Christopher Glynn with Oppenheimer. Please go ahead.
Christopher Glynn: Thanks. Good morning. I was just curious about the ATS foreground, spend another moment on that. You said your team is very engaged talking to customers, so that sounds like everyone is on the same page in terms of expecting a recovery. Are you just seeing like materialization of pre-RFP activity? Is there, like, improving breadth month to month? Just curious how the cadence is there.
Sundaram Nagarajan: Yeah, I would go back to what we were talking about, which is really great customer conversations, historical trends all pointing towards second half of calendar 2024. Clearly our pipeline activity continues to be pretty good. And our expectation is that, that translates into order entry and translates into shipment. Beyond that, I -- our expectation for the ATS is it's going to be flat, but first half down, second half up. And if you look historically, that has been a fairly good indicator and we believe that. So our guidance is based on APS being flat, not significant growth.
Christopher Glynn: Yep, yep, I understand the timing. Thanks for that. And then a quick one on MFS, the kind of non-medical fluid solutions portion. I think you talked about some significant manufacturing and productivity benefits there from cost actions and NBS Next. Curious how that industrial fluid solutions business, I think it's short cycle oriented. How's that -- a little more detail on how that's behaving, please?
Sundaram Nagarajan: Yeah, that is going fairly well. I would say early times here. We are very pleased with the improvements that teams have made in manufacturing and the business starting to return to where it typically operates. A significant pickup in this business is going to be tied to the electronic customers in Asia as well, right? And so this is a business that has some electronic exposure and that they will benefit from that as the second half picks up for them. But overall on the industrial side it seems to be steady.
Christopher Glynn: Thank you. Thanks, Naga.
Sundaram Nagarajan: Yeah. You're welcome.
Operator: Your next question is from the line of Walt Liptak with Seaport Research. Please go ahead.
Walt Liptak: Hi, thanks. Good morning. I wonder…
Sundaram Nagarajan: Good morning, Walt.
Walt Liptak: Good morning. You guys haven't talked too much about pricing yet and there's still some inflation out there even though it's come down. How are you thinking about systems pricing and component pricing as you start going into the new year?
Sundaram Nagarajan: Steve, this is something that you want to touch on?
Stephen Shamrock: Yeah, to answer that question, what I would say is, again, just to remind you and everyone that really when we talk about pricing, I mean, we're selling the value of our products to our customers. So we've not passed through large inflationary price increases as a result of that. I mean, again, our focus is maintaining our very strong gross margins from that perspective. So, as I mentioned earlier with the organic growth guidance, the 1% for FY ‘24, I would think that that organic growth would be balanced in terms of a little bit coming from volume and price, but again, it's not something that we're really focused on from that perspective. Again, our focus is on maintaining those gross margins.
Walt Liptak: Okay, great. And I wonder if we could talk a little bit about the ag markets and just the -- regionally, ARAG is pretty international in Europe and South America. I wonder if you could talk a little bit, give us some insight on how those markets are trending and we probably have a better view on the US, but -- so maybe the second part of the question is, you guys are looking at kind of a new opportunity in the US for market share. Can you grow the US part of the business next year?
Sundaram Nagarajan: Yeah, let me start and then Joe can add a little bit more color to the business. As you think about ARAG, right, what we acquired is a European market leader, great technology, strong position in Europe, strong position in South America in an end market that is growing, right? So our models and our expectations are that we deliver on that promise around continuing to grow the European business and continue to grow the South American business. We certainly recognize that we have an opportunity in North America. But we also understand the market dynamics in North America. Any wins and any expansion here will be at least additional icing on the cake, if you so will, to our model. And so, we like the technology, we like the market position, and the market structure in Europe is uniquely different from North America, and maybe let Joe add color to the work that they're doing in Europe and in our technology. So, Joe?
Joseph Kelley: Yeah, Walt. You think about just the level set on ARAG, their precision dispensing fluid components that are predominantly components sold to implement manufacturers, spray manufacturers. And when you look, it's again, predominantly a European business, a very broad footprint throughout Europe through their distribution model and selling to implement manufacturers. And so that market again is, I would tell you, the main driver of our forecast when you think about the ARAG business and the growth that we're forecasting for 2024. The US and other geographies outside of Europe and South America where ARAG has a strong footprint represents opportunity. And when you think about Nordson and our broad geographic footprint, our ability to, I would say, realize some of those opportunities, I think is enhanced as opposed to a standalone ARAG business. And so when you think about that, we're starting to see in the integration, some of these opportunities start to fill in in the pipeline. And so again, we're optimistic that long term, we can make this a global division within Nordson with a broad geographic footprint.
Walt Liptak: Okay. All right. Yeah, thanks for that answer. And, if I could just try one more on the IPS segment for Joe. I wonder if you could just help us characterize how you're looking at kind of the general industrial system spending for next year, what the funnel looks like, and maybe some of the bigger subsegments like around automotive or consumer good?
Joseph Kelley: Yes. So, just to level set, the IPS segment is coming off now, I would say, two very strong years. If you look back at ‘22, they delivered a 7% organic growth. In ‘23, it grew 3% organically. So as we head into ‘24, we're looking to really maintain that from the level where we are. What drove it, if you go back to ‘22, was a lot of the large systems in the liquid coatings. And then in ‘23, it turned, there was heavy automotive, actually growth in automotive on the coating side. And then on the plastic processing side and the recycling. That was strong in the back half of ‘22 and continued to be strong in ‘23. And so those large systems businesses within IPS, they do carry a nice backlog into 2024. That being said, the remaining portion of the IPS business backlog there has moderated. So, when you see the backlog come down to $800 million, I would tell you that's the elevated backlog moderating back to historical terms for the remainder of that business. That being said, the order entry there remains steady and is supportive of our forecast. So, you're familiar with the business, particularly on the packaging side. When systems come down due to investment, parts typically help offset that in terms of growth of parts. And so it's really a nice mix. And I would tell you, we've benefited from automotive liquid coatings and then the polymer processing last couple years on the system side. But the remaining broad-based [industry] (ph) remains steady.
Walt Liptak: Okay, great. Okay, thank you.
Sundaram Nagarajan: Right, I mean one thing that I would add Walt is really, in general the company is a recession resilient company and a portfolio that helps us get through uncertain economic environments or downturns in specific end markets, right? That's what you saw happen in ‘23. As we think about ‘24, really what were our expectation is [IPSA] (ph) study, ATS is flattish to slight growth, and MFS returns to pretty modest growth. And that's kind of how I would think about it. And a pretty strong EBITDA margin in last year, and we'll continue to expect to see the same next year.
Operator: Your next question is from the line of Andrew Buscaglia with BNP Paribas. Please go ahead.
Andrew Buscaglia: Hey, good morning, guys.
Sundaram Nagarajan: Good morning.
Joseph Kelley: Good morning.
Andrew Buscaglia: Just one last clarification on your guidance. So the low end, if you look at the organic sales growth, the low end of that guidance, if you model that out, it doesn't really assume much of a recovery at all. Is that correct? And then how much of the recovery is really easy comps versus demand actually picking up?
Stephen Shamrock: Yeah. So what I would tell you, Andrew, is from a general guidance perspective, I mean, at the low end of our sales guidance, we're talking about 4% basically from that perspective. So obviously, there -- what would get us towards the lower end there is obviously, if there is the recovery on the ATS side, for example, is slower than what we would expect if FX rates go against us, those types of things. And I think we talked earlier, I think Naga mentioned it as well, just from a comp standpoint, with some of the businesses that we were talking about, right, whether it was fluid solutions or on the electronic side within ATS.
Andrew Buscaglia: Okay. And then what about the easy comps versus demand picking up? Is that -- to get to the midpoint, do we need demand to come back?
Sundaram Nagarajan: Sorry, go ahead, Steve.
Stephen Shamrock: No, what I was going to say is, I mean, just from a midpoint perspective, again, I mean, that assumes 1% organic growth overall. So, again, there would be some volume embedded in there. So we would expect it to pick up, right? I mean, just kind of given the, by segment, like we talked earlier, from that perspective, ATS, again, we'd expect some second half pick up there in the end of Q2 or Q3 and Q4. We talked about the fluid components earlier and even fluid solutions. I know Naga referenced that as well, electronic assembly picking up in the back half of the year as well.
Andrew Buscaglia: Okay.
Sundaram Nagarajan: Andrew, I would just add, if I could, the way I think about it is full year, our guidance says we're going to grow 6% at the midpoint, roughly speaking and Q1 is growth of 3%. So basically, it implies that the growth rate picks up past Q1. And part of that, as you mentioned, is the comps get easier in Q2 and Q3, particularly because that's when the ATS and the biopharma pullback really occurred. And so the growth rate is, let's just say, 3% in Q1 and then picks up to 7% in the remaining three quarters, with it being the heaviest in Q2 and Q3 because the comps are easier.
Andrew Buscaglia: Yeah, okay. And in ATS, margins kind of move around quite a bit historically, so it's hard to gauge a pattern. But is the main driver here for ATS long-term volumes just picking back up, or are there cost-saving potential in that segment to get those up closer to a corporate average margin?
Sundaram Nagarajan: Let me just maybe give you a broad view of how we're thinking about ATS, and then maybe Joe or Steve, you guys could add more color to it. What I would say is, ATS at 24% EBITDA, and you compare them to their competitors in the markets that they play in is pretty strong. And one of the reasons is that, look, the R&D load here is much higher than some of our other businesses. So, expectation shouldn't be that ATS gets to the total company average numbers. It'll -- you're always going to find that you have 14% SG&A cost here in the -- in our business in ATS when compared to IPS, which is a much smaller number. So that’s -- the only level setting I want to do is make sure that you’re not -- your expectations for ATS should be in line with ATS, not in line with the total company average.
Joseph Kelley: And the comment, down the full year, we're quite pleased with what we've done to improve the profitability of that business. And here we are at the low point in the cycle and we're delivering this [24%, 23%] (ph) EBITDA margins and so we're well positioned to participate in the recovery but that doesn't mean you should expect it to get to Nordson's the other segments levels of profitability.
Andrew Buscaglia: Okay, thank you guys.
Stephen Shamrock: The only, I was going to say, maybe the only other point I would add there too is we've done a nice job in that segment as well, Andrew, just in terms of our decremental margins being very favorable to our targets, right? So we're really managing the costs appropriately based on volume, so.
Andrew Buscaglia: Okay, thank you.
Operator: And at this time, there appear to be no further questions. I will turn the call back over to Naga for any closing remarks.
Sundaram Nagarajan: Thank you for your time and attention on today's call. We're making great progress on the Ascend strategy. We're well positioned for profitable growth in fiscal 2024. We remain focused on achieving our long-term objective of delivering top-tier revenue growth with leading margins and returns. I wish all of you a happy holiday season. Thank you.
Operator: This does conclude the Nordson Corporation fourth quarter and fiscal year 2023 conference call. We thank you for your participation. You may now disconnect.